Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust First Quarter 2018 Results Conference Call. [Operator Instructions] This conference is being recorded on Friday, May 04, 2018. A press release with New York Mortgage Trust first quarter 2018 results was released yesterday. The press release is available on the company's website at www.nymtrust.com. Additionally, we are hosting a live webcast for today's call, which you can access in the Events & Presentations section of the company's website. At this time, management would like me to inform you that certain statements made during the conference call, which are not historical, maybe deemed forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time-to-time in the company's filings with the Securities and Exchange Commission. Now at this time, I would like to introduce Steve Mumma, Chairman and CEO. Steve, please go ahead.
Steve Mumma: Thank you, Operator. And good morning everyone and thanks for being on the call. Included in the 8-K filing yesterday was our earnings press release for the first quarter 2018 results. The company delivered a GAAP net income of $0.21 per common share and had comprehensive loss of $0.01 per share for the first quarter. Our book value per common share was $5.79, a decrease of 3.5% from December 31, 2017 resulting in an economic loss for the quarter of 17 basis points or less than 1% on an annualized basis. The Company continued to benefit from our multifamily credit strategy particularly the Company's K-series investments which contributed nicely to both our net interest income, as well as our portfolio of valuation improvements from continued credit spread tightening, which helped to offset some of the valuation pressure from our agency RMBS portfolio. Company' net interest margin for the first quarter expanded by 47 basis points from the prior quarter to 286 basis points. All of this in the backdrop what is currently a very challenging market environment for fixed-income strategies, where short-term liability costs are rising, overall interest rate volatility is increasing resulting in higher hedging costs and placing downward pressure on some of our strategies. On the acquisition side, the quarter was relatively quiet. We continue to grow our credit portfolio adding approximately $34 million in multifamily and second mortgages. The build in credit assets remains gradual, as the demand for credit assets continues to be highly competitive. I’d like to now go over some of the highlights for the period ending March 31, 2018. We had net income attributable common shareholders over $23.7 million or $0.21 per basic common share. We had a comprehensive income loss of $0.8 million or $0.01 per share which was primarily the result of a decrease in valuation for our Agency RMBS strategy. We had net interest income of $19.8 million and portfolio net interest margin of 286 basis points. We declared a first quarter dividend of $0.20 per common share that was paid on April 26, 2018. At March 31, we continue to have over 80% of our capital investment in credit related strategies including 53% of our capital or $501 million in multifamily strategy and 30% or $283 million in capital and our distressed residential loans strategy. We had a total invested assets of approximately $2.6 million. We continue to maintain a conservative leverage ratio with callable leverage to equity at 1.5 times and total debt leverage to equity at 1.8 times unchanged from the previous quarter. As I said, we generated net interest income of $19.8 million and had portfolio net interest margin of 286 basis points for the quarter ended March 31, as compared to net interest income of $15 million and a portfolio net interest margin of 239 basis points for the quarter ended December 31, 2017. The $4.8 million increase in net interest income in the first quarter was primarily driven by an increase in average earning assets in our Agency RMBS strategy which had an increase of approximately $237 million and contributed $0.8 million in additional net interest margin. In addition, we had an increase of $3.3 million in net interest margin related to our distressed residential portfolio. The improvement in net interest margin was largely attributable to changes in expected cash flows resulting from decreased loan sale activity during the period. For the quarter ended March 31, 2018 we recognized other income of $21 million, as compared to other income of $25.2 million for the quarter ended December 31, 2017. This $4.2 million decrease was comprised of several components. Including a $6.1 million decrease in unrealized gains related to our multifamily strategy, which were not losses but just a lesser amount of gains for the quarter. A $5.8 million decrease in gain on sale related to our distressed residential portfolio we had very limited sales activity during the quarter and a net unrealized and realized loss of $0.7 million related to our continued exit from our Agency IO strategy. These were all offset by $9 million unrealized gain related to our interest rate swap heads. For the quarter ended March 31, 2018 the company had $5.5 million in general and administrative expenses, as compared to $4.3 million from the previous quarter. The previous quarter being the fourth quarter of 2017 included an incentive fee recovery of approximately $700,000 which resulted in lower expense in the fourth quarter but our actual run rate going forward would be approximately $5 million to $5.5 million a quarter and expenses. Operating expenses for the quarter ended March 31, 2018 were $3.2 million as compared to $3.9 million for the previous quarter. The $700,000 decrease was largely attributable to a decrease in residential - in our distressed residential strategy as we had limited sales and purchase activity during the quarter. The company continues to focus on our credit strategies with more than 80% of our capital allocated to this effort. We currently are direct lenders to both multifamily and residential areas including our second mortgage strategy, as well as are now live non-QM strategy. We will continue to maintain a disciplined approach to asset selection as we believe this is the key to positive long-term performance and remain focused on growing our credit portfolio into 2018. We appreciate your continued support and look forward to discussing our second quarter results in the future. Our 10-Q will be filed on or about Thursday, May 10, with the SEC and will be available on our website thereafter. Operator, if you could please now open up for questions. Thank you.
Operator: [Operator Instructions] And our first question comes from the line of [indiscernible] from Credit Suisse. Your line is open.
Unidentified Analyst: I am filling in for Doug today. So with credit assets already trading at tighter spreads, I was wondering if I could get your thoughts on whether the acquisition pacing for this quarter would be indicative of what we should expect in 2018.
Steve Mumma: Hopefully no, I mean we are working on - we've already had a purchase in the distressed residential loan portfolio in the second quarter and we're working on several transactions in the multifamily space. We had a couple of things that fell through that we thought were going to come to fruition and on one hand we benefit from the credit spreads tightening in the multifamily assets, but it's become very difficult to get out just because there is lot of competition bidding on it but we're working on several things and we would like to think that our - we have seen an increase in pace in our second mortgage program, while that’s not hundreds of millions of dollars it is starting to increase and become significant. Hopefully we’ll be closer to $100 million by the second quarter and the second mortgage portfolio. Our non-QM strategy you have rolled out there to originators and we're starting to take a lot and expect to close loans in the second quarter. We anticipate that gaining momentum - more momentum each quarter going throughout the year. So we know that, we are in the hunt to take another first loss of Freddie K security in 2018 and where - so I think the pace in the first quarter is slower than the rest of the year and we anticipate that to accelerate.
Unidentified Analyst: And you just said that for the second quarter what you've seen is, there has already been some sort of pick up.
Steve Mumma: Yes.
Unidentified Analyst: And then my second question, it's about the asset yield which increasing the distressed residential portfolio. How much of that 260 bps is sustainable going forward?
Steve Mumma: The actual yield on that portfolio if you look at it over time it's somewhat volatile and the volatility is around the accounting methodology that we use which is distressed credit. We have changed that methodology going forward on purchase the fair market value which will stabilize the yield, and I go to these expeditions and they are somewhat complex but when we have a significant sales during the quarter, you go through this pool level of analysis that is up reclassifying some of the net margin to gain. The actual yield of the portfolio is more indicative of what the yield is reflected in the first quarter. In real terms from quarter-to-quarter you may have some volatility net distressed because it is gain on sale but the pickup in yield really was an accounting pick up, that portfolio is cash flow to approximately in the high five yield since we rolled it and it has been pretty consistent.
Operator: And our next question comes from the line of Christopher Nolan from Ladenburg Thalmann. Your line is open.
Christopher Nolan: Quick question, any consideration of doing a preferred raise?
Steve Mumma: We did a preferred raise in October. We wanted to get something done. We thought the first quarter was going to be volatile from a rate standpoint which it has been. We put that capital and agency securities again it employed. But our intention is over time and to reduce our agency exposure and continue to play that in credit. So at this time we don't really have any - any need or desire to do another preferred offering.
Christopher Nolan: And second quarter-to-date, how is the net interest margin tracking relative to the first quarter?
Steve Mumma: Again the net interest margin is been somewhat volatile because of the accounting methodology into distressed loan portfolio which we changed to fair market value going forward. So it should be more stable but I would say the 280 basis points is more indicative of our actual portfolio than the 237 that we had last quarter at 237 was decrease by sale that we had in the fourth quarter that caused a pool allocation change in accounting and some geography changes where the income was reported. But I think the 280 basis points is a much more indicative basis point a portfolio can produce.
Christopher Nolan: Also should we look forward incremental increase in the capital allocation to the credit sensitive strategies?
Steve Mumma: We were absolutely focused on putting as much as assets as possible in our credit strategies. Right now, we still think it’s a significant amount of opportunity. We think it allows for more stable valuations over time, when you're leveraging your RMBS portfolio 7 to 8 times and you’re hedging that, you still have 8:1 against your equity win on price movements which is much more - it’s much mature difficult to hedge that in any sense of perfect world. As you can see by all - book values have come up in this quarter. So our credit portfolio we think just gives us little bit more stability and does a good job of stabilizing the overall company performance. So, absolutely our focus on putting assets to work in that category.
Christopher Nolan: Is there any limit in terms of how much you can allocate credit to that strategy?
Steve Mumma: The limit really would be governed by same prudent leverage within the company itself and clearly as you put more, more credit less liquid assets on your balance sheet, you’re going to reduce your liquidity. So you would expect 1.8 times overall and 1.5 times against callable. The majority of that callable liquidity is related to our RMBS strategy. So if we were to exit the RMBS strategy, our leverage ratios are going to trend back down towards one times but the limitation is really going to be on your ability to leverage and your desire to leverage those particular assets. Right now, the ability to leverage exceeds our desire to leverage. There is a lot more liquidity available to us that we choose to put on those assets today.
Christopher Nolan: And finally how is book value tracking second quarter to date relative to the last quarter?
Steve Mumma: I would say just given the rate environment, the rate environment is a little bit - the 10-year is probably 10 basis points better so that's helped the agency spread a little bit. I don't think it significantly unchanged from the quarter end. You've seen some credit spread easing in some of the credit markets, although I do think in the multifamily in particular that Freddie K CMBS world that doesn't seem to be a whole lot of spread easing in that market. It continues to be very well bid every time they come out with new issue.
Operator: [Operator Instructions] And our next question comes from the line of David Walrod from Jones Trading. Your line is open.
David Walrod: Can you discuss your pipeline for asset sales in the next couple of quarters?
Steve Mumma: Look we were very disappointed that we didn't have a sale in the first quarter. I think we did a good job in 2017 of consistently having sales quarter-to-quarter and we were very disappointed again that we didn’t have the sales. We do anticipate a large sale in the second quarter that is in process as we speak and that will be - be actually be two sales in the second quarter. One, which should have been better than the first. So again I think some of that timing of actual sales will be alleviated as we transition over the fair market accounting. So therefore we have a better control of valuation changes in the portfolio from sales and not be dependent on actual outright settlements which are difficult to predict because of our diligence and due diligence clearing you have to go through to complete itself.
David Walrod: You mentioned that, you thought your second lien business could get to $100 million. Can you give us some idea where it is right now?
Steve Mumma: We finished the quarter around $50 million David. We have seen the pipeline increased substantially with rates going up in here. I think as you see less ability for borrowers to refinance their first, they’re going to look to second - other means and we've seen a nice pick up in that business which is something we have predicted for the last two years the rate environment is just been so favorable for first lien refinance cash out that it really didn’t come to fruition but obviously the increase in activity in both HELOCs which were not active in yet but are considering has increased dramatically and second lien fixed mortgages has increased. Our own volume has increased, as well as competition for that has increased. But the portfolio is doing very well, very sound the credit is outstanding, the net margin is outstanding. And so we're very pleased with the assets we do have.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Steve for any closing remarks.
Steve Mumma: Thank you everyone for being on the call. We appreciate the continued support and we look forward to talking about the second quarter in early August. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a nice day.